Operator: Good morning, and welcome to JBS S.A. and JBS USA First Quarter of 2025 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. Any statements eventually made during this conference call in connection with the company business outlook, projections, operating and financial targets and potential growth should be understood as merely forecast, based on the Company's management expectations in relation to the future of JBS. Such expectations are highly dependent on market conditions, on Brazil's overall economic performance and on industry and international market behavior, and therefore, are subject to change. I present with us today, Gilberto Tomazoni, Global CEO of JBS; Guilherme Cavalcanti, Global CFO of JBS; Wesley Batista Filho, CEO of JBS USA; and Christiane Assis, Investor Relations Director. Now, I will turn the conference over to Gilberto Tomazoni, Global CEO of JBS. Mr. Tomazoni, you may begin your presentation.
Gilberto Tomazoni: Good morning, everyone. Thank you for joining, joining us today for earnings calls. JBS beginning 2025 with one of the strongest first quarter result in its history. And yet another demonstration of the stretch of our diversified global platform. Net sales rose 8.5% in U.S. dollar, and net profit jumped at 50.5% with an EBITDA margin of, in what part is a typical, a softer quartet for the global protein industry. Quarter-after-quarter, our results continue to validate the strategy decisions we have made building and management our platform. We also advanced our goal for our dual listing of JBS shares in both Brazil and United States, following the completion of our regulation with the U.S. Securities Exchange Commission. Once approved by our minority shareholders, this step will remark a new chapter in the company journey. We believe in this mutual listing, we'll enhance our international visibility, attract new investors, and further restrashing our position as a global leader in food. Our poultry and pork business in Brazil and United States were the standout performance this quarter. Seara and Pilgrim's delivered a record first quarter EBITDA margin of 19.8% and 14.8%, respectively. I want to emphasize that Searas' performance reflect a disciplined focus on operational excellence and position across domestic and international market, capturing value through product mix optimization and a strong focus on innovation with the launch of new category in Brazil, such as the air fryer ready products line and the co-branded partnership with Netflix. The business continued to strengthen its portfolio of high value-added offerings. Pilgrim's results were driven by solid demand, disciplined portfolio management and stable grain costs. JBS U.S. Pork also delivered strong performance, supported by higher sales volume and available supply demand dynamic, achieving an EBITDA margin of 12.4%. Our strategy of generating and protein diversification continues to yield positive results, even in the ongoing margin pressure for JBS Beef North America. The beef business in Brazil and Australia are benefit from the respective cattle cycles in both countries. At Friboi, the focus remains in operational excellence, expanding the value-added portfolio and increasing market access. In Australia, where the cycle is expected to remain favorable in the coming quarters, results reflect operational improvement and export growth. Despite being a quarter that typically sees higher cash consumption, the company leverage ratio stood at 1.99x EBITDA in U.S. dollar, well below the 3.66x EBITDA reported at the same period last year. Uncovering our financial stress, net sales for the quarter reaches $19.5 billion with adjusted EBITDA of $1.5 billion. We remain confident in our long-term strategy, operational excellence, go through diversification, innovation, value added product, and strong brands. The strength of our global platform combined with a disciplined capital allocation, market diversification, and our capacity to innovate, support value creation for all of our stakeholders, including our team members, customers, investors, producers, partners, and consumers. Finally, our first quarter results reaffirm our condition that we are in the right path, delivering consistent growth, expanding margin, and preparing JBS for a new cycle of opportunities. Thank you again for joining us today. I will pass, turn to the call over to Guilherme, who will work with, throughout our financial results in more details. Guilherme, please go ahead.
Guilherme Cavalcanti: Thank you, Tomazoni. Let's now move on to the operational and financial highlights of the first quarter of 2025, starting on Slide 10, please. Net revenues for the first quarter was $19.5 billion. Adjusted EBITDA totaled $1.5 billion and represents a margin of 7.8% in the quarter. Net profit was $500 million in the quarter. Excluding the non-recurring items, adjusted net income would be $572 million. Moving on to the next slide. In the first quarter 2025, operating cash flow reported a negative result of $285 million, while free cash flow was negative by $970 million. The main variations that impacted cash flow in the annual comparison were the increase in tax payments in the amount of $206 million, driven by solid results, mainly from Seara, PTC, U.S. Pork and Australia. The increase in working capital impacted mainly by the growth in inventories due to the higher cost of capital in the U.S. and Brazil. The increase in margin deposits for our hedge positions in the futures market, driven by the rise in cattle prices in U.S., and the payment of antitrust related settlements in the amount of $140 million. Moving on to the Slide 13. Net debt in the first quarter ended at $14.8 billion, a reduction of $1.1 billion, compared to the previous year. I would also like to highlight some advances we have made in liability management, which allowed us to reach an average term of approximately 12 years in an average cost of 5.4%. In January 2025, we issued bonds totaling $1.75 billion with strong demand for these securities. In March, we issued a draft through Seara for approximately $123 million. The first issued with a 30 year term, the lowest in the Brazilian capital market. As a subsequent event in May, we repurchased $850 million in senior notes due to 2030 and filed an issuance of a new craft through Seara for a total amount between $141 million and $176 million. Leveraging dollars decreased in one year from 3.66x to 1.99x in the first quarter 2025. The decrease is due to the expansion of EBITDA and debt reduction. Finally, I would like to highlight that in the general meeting, the shareholders approved the distribution of $789 million in dividends, equivalent to $0.30 per share, which will be paid today. It is worth remembering that we still have $0.17 to be distributed in the event of approval of the dual listing. I will now briefly go through the business units. Starting with Seara on Slide 14. Net revenue growth in the quarter was 3%, while profitability grew approximately 8 percentage points, reaching 19.8% EBITDA margin, a record for the first quarter. This result is a consequence of a better commercial and operational execution. Strong global demand for poultry and pork and expansion of the value-added portfolio. Moving on to the Slide 15. In the first quarter 2025, JBS Brazil recorded net revenue 10% higher than in the first quarter 2024, as a result of strong international demand and higher price in the domestic market, which were intended to offset the sharp increase in cattle prices. Thus, the EBITDA margin reached 4.1%, as the light will drop year-over-year. Moving on to the Slide 16, and now speaking in dollars and U.S. GAAP, JBS leased North America net revenue in the first quarter 2025 grew 15%, compared to the previous years, as a result of a strong demand that drove cattle to record levels in the U.S. However, profitability continues to be pressured by the challenging cattle cycle, which has also kept the price of live cattle at record levels. On Slide 17, we have JBS Australia. The annual comparison, the 12% revenue growth is mainly due to the higher volume sold in beef exports. The EBITDA margin reached 10.4%, an increase of 1.3 percentage points in the annual comparison, as a result of the greater availability of animals for slaughter and gains in the operational efficiencies. Turning now to JBS USA Pork. Net revenue for the quarter grew 5% year-over-year, reflecting high prices, driven by strong demand. Pork consumption is also being helped by the average price of beef, which remains high. Once again, JBS USA Pork demonstrated consistency and solidity in its results for the quarter, thus delivering an EBITDA margin of 11.1%. The given slide highlighted on Slide 19 reported a 2% increase in net revenue in the quarter. In the first quarter 2025, Pilgrim's delivered a solid performance, reflecting the consistent execution of its strategy and the resilience of its certified portfolio across all regions ready to operate. The company maintained robust margins, driven by operational gains and the continued strengthening of strategic partnerships will keep customers even in the face of a volatile scenario. With that in mind, I would like to open-up for the Q&A session.
Operator: [Operator Instructions] And our first question comes from Ben Theurer with Barclays.
Ben Theurer: Yes. Good morning, Tomazoni, Gui. Thank you very much, for opening up for questions here. Two questions for you. So, number one, you talked a little bit about this on the call earlier tomorrow, but I guess, there was a little bit few things were lost on the, in translation literally. As it relates to these recommendations for the voting on the dual listing, which is upcoming in about 10 days, how do you feel about your ability to really talk to investors, and how has the feedback been just from some of these investors that tend to vote along these proxies to get a little bit of a sense how you think about the outcome of the voting next week and what is under your control? That would be my first question. Then I have a second one on your operations.
Gilberto Tomazoni: Okay. So, we don't have access to votes. And then, the votes comes closer to the general assembly. So, basically, we don't know how many of those specific funds will follow the proxy, of the agencies. What we've been continue to be talking to shareholders, showing the importance of, for them to come to vote. A lot of funds generally never comes to general assembly. So, we are stressing this importance, for the ones that we continue talking.
Ben Theurer: Okay. Thank you very much. Good luck with that. And then, second, just on the beef business, in the U.S., and you flacked a couple of things, in terms of like, export headwinds because of lever, particularly in the second quarter, what is upcoming in terms of just from a tariff perspective. But also at the same time, I mean, clearly, cap price just continued to go up. So, as you look at the current environment, A, what are you seeing -- or what signs are you seeing, in terms of just starting a rebuild and what the implications are for you guys here? And second, as it relates to these trade flows, how much of an impact should we think about this in 2Q, just from a margin perspective or dollar amount? Anything you can share with us, as to the impact from these tariff implications on exports?
Wesley Batista Filho: Ben, good morning. A few things. So, for sure, we're seeing 2025 a much more difficult year than 2024, from a margin perspective. We are seeing some signs of a herd rebuild, if you want to say that because what we're seeing is a much lower queue, much lower processing of female of non-fed animals, about 14% versus the same time last year, which is already a year, 2024 was already much lower than 2023. So, we continue to see that, and that that is encouraging. It's not as best as we would like, and it's not as intense as we would like. But still, it's a, they are positive signs for her rebuild. So, we still expect that 2026 would be a better year than 2025, but probably not 100% out of the wood, out of yet. When it comes to tariffs and trade disruption, we think that this whole scenario of trade that we had right before this weekend, would, was costing us from a margin perspective, about 1 percentage point to 1.5 percentage points in margins. And like I said in the previous call, a lot of that was coming from actually our byproducts. A lot of high school, go to China and get processed there. So, that was a very important mark that is a very important market for hides. So, since that's kind of gone away, we see that it's probably just going to impact half of the quarter, so it wouldn't be a full impact of the quarter. With that, also, the -- we're seeing 2025 will be a challenging year. Q2 will be very challenging, compared to same time last year. The one thing, Ben, that we're seeing more than ever and we're very confident about is that and we're being able to see this in the current quarter that we're presenting, and we're certainly going to be able to see that in the second quarter, is even though the U.S. beef business continues to be challenging, we're going to be able to continue to show relatively stable margin, given diversification of the business. So, we're seeing, as the U.S. has these challenges, we're seeing positives in other geographies and in other proteins. So, we continue to be very confident. Actually, we think that this whole diversification advantage is going to be more clear than ever the advantage that that means for our business.
Ben Theurer: Okay. So, Wesley, just to confirm, that's 100 basis points to 150 basis points in the second quarter, basically, for the first half on tariffs. There was nothing in the first quarter. Correct?
Wesley Batista Filho: You are correct.
Operator: Our next question comes from Priya Ohri-Gupta with Barclays.
Priya Ohri-Gupta: Good morning, and thank you for taking the question. I was wondering, if I could just follow along with the last point that we were discussing around some of the impact to second quarter. I think, Guilherme, you had spoken previously about your expectation that EBITDA for this year would end up being close to flat year-on-year. Is that still something that seems achievable just given, what you're seeing on the U.S. beef business, tariffs, and just overall, sort of what's happening in the second quarter? And then, I had just a couple of follow ups.
Guilherme Cavalcanti: Hi, Priya. No. I never gave this kind of guidance or expectation. Last call, I just made form a math calculation. So, I gave, what we call the breakeven EBITDA. So, what would be the EBITDA that makes my free cash flow go to zero? And this was around $4.5 billion. So, I just said that in case we have the same EBITDA that would be how much cash we would be generating even that, but it was not an expectation for the year. The only thing that I can say about it is that this first quarter, our last of month EBITDA is now $7.4 billion. So, again, we have all the, the rest of the year to see how much, it could be, compared to the previous years. But again, it's early to say.
Priya Ohri-Gupta: Got it. Thank you. That's helpful. And then, two just, quick follow ups. First, how are you thinking about the potential for debt reduction over the rest of the year, as well as maybe, taking out the rest of the 2030 notes? And then, you talked a little bit about what you're seeing with U.S. consumer behavior. But can you tell us a little bit about what you're seeing on the retail side, in terms of promotions, and how that might be helping sort of demand for different proteins and what that would look like into the grilling season.
Gilberto Tomazoni: Okay. So, again, to call the, to the rest of 2030 is a possibility. In the case of our liability management, we are always extending the maturities. So, we could be doing new issuance of 10 and 30s and take out, for example, could be the 2030 or it could be the also, the shorter maturities because it's a constantly exercise of extending the maturities to have this comfortable amortization schedule. So, for the year, in terms of that reduction, we will, we think, of course, we will generally generate cash on second, third, and fourth quarter. So, but you're also paying dividends. We already paid, they, we announced the dividend that we are paying today, and we have also the dividends that we'll be paying in the case of the dual-listing being approved. So, it will more or less depend on how much cash generated, compared to the dividends that we pay. But the important thing is that our leverage is currently at 2x, right, 1.99x. So we think that we will be able to finish the year, on our long-term goal, which is be between 2x and 3x. So, that's what matters of leverage. We'll be very, of course, confident that you'll be busy on a 2.5x rain more or less, which is very comfortable. Also, even our cost of debt, which is, 5.4%, and given that our comfortable amortization schedule and more liability management that maybe, we may be doing throughout the year.
Wesley Batista Filho: Priya, then on U.S. consumer, we are seeing an overall strong demand for the three proteins. When it comes to beef, it's a good way of seeing this. We ask we are, we have a slower, a lower processing on fed cattle, but we also have much higher weights. Weights are up more than 3% this year. So, overall, it's not like we have a lot less beef. We actually have a little bit more beef to sell when it comes to fed beef without the cows, without the non-fed animals. And still with that, we're having a 9% valuation of our cutout year-over-year on the first quarter. So, this means to us very clearly that its demand driven, and demand is, it is strong. And we see that across the three pros, and I'm gonna give you this example of beef as just an example. Overall, we're seeing a trend also that of consumers moving from food service to retail. That's no news. That is, this is something we've been talking for a while. But I don't see, Priya that this is necessarily because the retail is doing some sort of aggressive features and all of that. I mean, more than, I don't think it's to do with something as specific as that. I think it's just a trend that people are seeing more cheaper value to get a good new at home versus eating out, and that's more to do with that than any specific future activities.
Operator: Our next question comes from Ricardo Alves with Morgan Stanley.
Ricardo Alves: Hey, everyone. Thanks for the follow-up. Guilherme, a question for Guilherme. While the EBITDA generation of the quarter was above expectations, I'm getting a lot of questions on free cash flow, particularly on working capital. Do you think that, are we able to go over at least the main lines, how they could evolve in the next couple of quarters? I mean, we discussed inventory in the previous call. So, maybe if we can go over a couple of lines just to make sure that we can still work with a scenario of, I believe, correct me if I'm wrong, $300 million and $350 million of consumption for the year. I think that that would be helpful. And then, quick follow-up to Wesley. Thanks for the comments, Wesley, on the 1% point, 1 percentage point to 1.5 percentage point impact on the beef side. I think that that was a good clarification. But qualitatively speaking, is it only leather? Can you just go over more, what is impacting the, what are the impacts related to the tariffs? Where exactly have you been restricted to operate out of the U.S.? We know the issues with exports to China, but is it more relevant to beef? Or is your pork operation in the U.S. also significantly impacted in the second quarter? And I guess, more importantly, how fast can your operation really react to that? We talked about half of the quarter being impacted, but is it really, really fast for us to recover to a normalized operation, going forward.
Guilherme Cavalcanti: Okay, Ricardo. So, as you listed on the previous call, working capital consumption was mainly due, because first quarter is a part, where you recompose inventories, and those inventories were recomposes on higher prices of raw material, mainly cattle and also grains. So, going forward, it will all depends on the market demands and if we'll be able to sell those inventories at prices that will generate positive cash flow. So, it's early to say, but basically, what we'll, our inventory was rebuilt on higher prices and now depends on how much the market for our products will be commercializing throughout the year.
Wesley Batista Filho: Because just on this whole trade, and with the tariffs and all of that in China, just to separate two different impacts. One of them was the high tariffs on the China and the U.S. put against each other. So, that had one impact, and a separate impact was beef access to the U.S. Today, there is the, basically, the U.S. beef plants are not approved to export to China. Those are two different things that are separate. One of them obviously got improved and this deal between the U.S. and China to lower tariffs, obviously, has an immediate impact on the market, except for beef going to China because that's an approved, plant approval thing, a thing that we, that hasn't changed. So, on the beef side, the larger part of the impact that I mentioned is hides, is a relevant part, probably the most relevant because a lot of that went there and it's -- it was a larger share of the total export of hides was to China. So, it was more difficult to maneuver to other markets. Beef is not the same as hiding that. Beef, we have other markets that we can continue to export and have a -- the appropriate destination for that product. So, beef part of that is the whole hides deal. Whenever we have the stairs coming back to a lower level, it's pretty immediate, the reaction capability that we have. On the beef side, on the meat side, that's going to take longer a longer time. We have to regain our approvals to China. So, that's going to take a longer time. But like I said before, the largest part of the loss that I mentioned is hides. And on the pork side, yes, there was also pretty relatively similar, loss on the pork side, when it comes to the stairs, about 1 percentage point to 1.5 percentage points. But with -- but it was all tariffs. It wasn't, plant approval. And as the tariffs come back to a lower level, the reaction time, like you asked is pretty quick. It's not something that takes too long to regain access and continue to export.
Operator: Our next question comes from Carlos Laboy with HSBC.
Carlos Laboy: Hi. Good morning, Wesley. I was hoping you could review for us the different key areas of your U.S. beef operation and whether you're happy with the capabilities and the performance that you have in the key areas and if there's any areas in particular that you're looking for capability or performance improvement over the next year or two.
Wesley Batista Filho: Carlos, we're very -- we're, actually, we're very, very, proud of the job that the team has done, over the last two years. We've significantly improved our operations. The numbers are right here. When you compare the, our results from '24 to '23, I've mentioned that in the previous call, I think it's pretty telling because you look at market data and 2024 was a much tougher year than 2023 And our margin was pretty stable. It shows that we were able to capture a lot internally, and we see that actually improving into 2025. So, even though the market, it's pretty difficult, and pretty challenging, we're -- we think our operation today is very, very competitive. There is things to continue to improve, and there is, we're very focused on that. But the performance today, we see as very, very competitive. Again, we're always going to have more than we want to get and more than we want to improve in our business. But today, we have a very, very competitive beef business in the U.S.
Operator: Our next question comes from John Baumgartner with Mizuho.
John Baumgartner : Yes. Just first question for me, on Seara, Q1 was the fourth consecutive quarter now with at least the high-teens margin. And it seems as though more benefits are likely here from the premium product mix and the efficiencies. How should we think about the incremental cost efficiencies to be realized from here? Is it possible to quantify that? And then, set against that, are there any notable growth investments they still have to make at this point?
Gilberto Tomazoni: Hi, John. Thank you for the question. Seara has benefited from the improvements we have done last year, and this improvement was in operational excellence. Efficiency of our operations was in mix management, was in pricing, and to increase our capacity to produce because we have made a lot of investment in the past, and now we are the bottoms coming to the market. And this combined, all of these things, we have now experienced this improvement of margin. I talk improvement of margin because if you compare the first quarter with the fourth quarter, last year, we had increase in the cost of the grain. And even that, Seara was able to achieve the same results because of the benefit from these improvements. And if you look for ahead, we are seeing that next part, there will be higher cost of grain, compared to the first quarter. But the third quarter, we are seeing now in Brazil, the lack because of a great crop, we see the reduction of the cost of the, well, at all grain, but it's focused on the old corn. And I hope Seara can continue delivering good margins. I don't know exactly. We cannot estimate exactly what is the percentage of the margin, but we'll be a very healthy margin.
John Baumgartner : Okay. Thanks for that. And then, to follow-up, I'd like to ask about your diversification strategy and particularly the investment back in January to enter the eggs business in Brazil. That seems to be a nice opportunity in moving into a lower price protein. And I'm curious how you think about growing this exposure to eggs over time. Is this something that you're looking to grow more ambitiously, relative to aquaculture or plant based? Is it just more of a localized focus in South America, or would you consider entering the egg category in the U.S. through M&A as well?
Gilberto Tomazoni: We see that, aquaculture is a different market for eggs. Aquaculture, it's a lot of regulations. We cannot decide the market at the start when it depends on the license to operate. It's more we can grow, improve our volume where we are in, for example, in Tasmania. But otherwise, we need by go by acquisition. And this is we keep our priority to grow in this segment. It's one of the priority. In eggs, we enter in Brazil. But eggs is a global protein. I think it's more global than the other proteins. And we start in Brazil, but we have an ambitions to do with the eggs. The same we have done with chicken, pork, and beef. We are global, one of the global player, one of the leaders in the market.
Operator: Our next question comes from Ben Theurer with Barclays.
Ben Theurer: Yes. Thank you very much for squeezing in a follow-up. Just wondering, Australia. That was, actually pretty strong again, and I know we had, in the, I think it was the last two quarters, a couple of issues on the settlement side, but discord in particular felt like really good. So, I was wondering, maybe just because of all that diversification strategy, and you've explained already the impact on exports of hides from U.S. to China, how that impact it. But wanted to understand if you actually saw on the flip side some benefit in things of, like, exports from Australia into China, offsetting some of that, maybe getting better pricing, to ultimately drive those better margins because the margin expansion was really good with over 100 basis points versus last year. So, we just want to understand what -- what's been driving that.
Wesley Batista Filho: But we -- as we said before that we had in the last quarter, the fourth quarter last year, some challenge, in terms of because of decline. Too much rain, and the challenge to take the [keros] to the processing plant. In the first quarter, we've not -- was not solved all of the problem because in the South of Australia, we remain a challenge for that, but it was much better than the fourth quarter. And the good things about Australia is the hides has increased a lot. We are not taking till now the old benefit from that. I think this is a challenge we had with climate. We postponed the benefit for more longer than we are expected to have. And we are so confident, in terms of the Australia delivering results in the coming quarters. And about diversification, [Tiki], just to make sure you, pork, we are so excited with the pork business. We bought the pork business in Australia, and we are now making investment improvement on the, in the quality of our operation. It's almost investment in farms and investment in increased productivity bank made a benchmark with the other operation we have in Brazil, in U.S., and we're so excited about that because, Australia export grain and import pork meat. If you export grain because you are exposed to international price, means that we are able to produce inside of the Australia. We are -- we believe that in the future, Australia could be a net export and not a net important light for today. Then it's, Australia is one of the market we are really, would emphasize that would be one of the opportunities for growing the company.
Ben Theurer: Okay. Got it. And then, one real quick for Gui. The $2 billion CapEx number that still holds for the year, $2 billion?
Guilherme Cavalcanti: Yes. Yes.
Ben Theurer: Good. That's all.
Operator: Our next question comes from Carlos Laboy with HSBC.
Carlos Laboy: Yes. Just a quick follow-up, please. Guilherme, can you please review for us again the key dates ahead through completion of a dual-listing assuming all goes well?
Guilherme Cavalcanti: So, the tentative deadline that we published on the F4 is general assembly on May 23, their last day of trading of JBS S.A., June 6, first day of BDRs, June 9, and for and today, NIC, on the 12. So that's a tentative timeframe. Some things is not out of control, but that's what we put as a tentative on year four.
Operator: Ladies and gentlemen, there being no further questions, I would like to pass the floor to Mr. Gilberto Tomazoni for his closing statements. Please go ahead.
Gilberto Tomazoni: I want to thank you again for your participation in this conference call, and I want to thank you for all our team members that, commitment to the daily, commitment to delivery the best result and be the best. And we are to extend my gratitude from them and say, we are confident for the future of the company that we can keep improving, grow and create more opportunity for all of our stakeholders, including our team members. Thank you.
Operator: This is the end of the conference call held by JBS. Thank you very much for your participation, and have a nice day.